Operator: Hi, ladies and gentlemen, and welcome to the McEwen Mining First Quarter Operating Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this call may be recorded. I would now like to introduce your host for today’s conference Mr. Rob McEwen, Chief Owner. Please go ahead.
Robert McEwen: Thank you, operator. Good morning, fellow shareowners, ladies and gentlemen. Today, we’re going to talk about our operating and financial performance in the first quarter 2018, as well as our exploration progress, corporate developments, and what to expect for the rest of the year. Presenting with me today are our CFO, Andrew Elinesky; our COO, Xavier Ochoa; and our SVP of Exploration, Sylvain Guerard. The first quarter 2018 marked the beginning of an important year for McEwen Mining. We expect the construction of our Gold Bar mine will be completed by year-end and the mine will be in production early in 2019. Our $15 million exploration program at our Black Fox Complex is a large investment to test the potential of the properties. It has already produced encouraging assay results and generated new areas of promising mineralization. In Mexico, we’re starting the transition, the transition from mining oxide gold ores and processing in a heap leach facility to finalizing our plans to mine our silver and gold ores and through a – and processing them through a mill. We will be releasing a preliminary economic assessment of this process later in the quarter. Financially, we have resisted the industry’s bad habit of selling royalties, metal streams and hedging, because we believe the price of gold is going higher and we want to maximize our revenues for you. We have no debt. But as we have stated, when addressing how we will finance Gold Bar, we are considering taking some debt on in order to complete the Gold Bar construction and to avoid issuing shares at the current price. I can assure you the debt will not be convertible and will not have warrants attached. I will now ask Andrew to talk about our financial performance in the first quarter.
Andrew Elinesky: Thank you, Rob. Good morning, everyone. Thank you for taking time out of your day during a busy season for joining us here. Further to Rob’s opening remarks, the first quarter was a dynamic start for what is going to be a very busy year for us. From the perspective of an operating performance, our production and cost per ounce metrics were right at our planned levels. While from a financial perspective, the net loss we reported was also in line with our expectations as our income statement and treasury balance have started to reflect sizable investments that Rob mentions that we’re making at Gold Bar, as well as the continued work at Los Azules and the exploration work that we’re doing across all of our operations. Regarding our overall operating result, the company had consolidated production of just over 44,000 gold equivalent ounces. We feel this is a good start to meeting our production guidance of 171,000 ounces for the year. Production for the quarter was just under 15,000 ounces higher than a year ago. This was primarily attributable to the addition of the Black Fox mine in Timmins, which we purchased last year, as well as a 25% increase at our El Gallo Mine in Mexico. In addition, cash costs and all-in sustaining costs were right at expected levels on a consolidated basis, which led to earnings from our mining operations of $19 million, or $0.06 per share. This contribution from operations helped to offset the significant investments being made at the Gold Bar project. These investments resulted in a decrease of our liquid assets by just over $13 million, when compared to the end of 2017. In addition, when you combine the exploration and development costs with the realized and unrealized losses on our equity investments, the company reported a net loss of $5.2 million, or $0.02 per share. Moving on to the outlook for the rest of this year. Firstly, with Mexico, we expect our cost to decline from the first quarter. This is due to the removal of mining costs, which will cease at the end of May. And that is – as Rob mentioned, we are doing – that is due to the depletion of our oxide resources. And despite the completion of these mining activities, we will continue to produce gold on a declining basis as we leach for the next two-plus years. This production profile will allow us to maintain an established presence in the area, as we continue with our studies and development on mine life extension using the sulfide resources that Rob mentioned and for which we’ll be publishing our findings in the coming month. Secondly, at Black Fox, we expect production to remain steady throughout the rest of the year, when compared to the first quarter. And we expect cost to trend closer to our guidance, while we continue with the evaluation of our opportunities in the region. Thirdly, at San Jose, we would expect production levels to increase slightly in the second and third quarters, followed with the highest production occurring in the fourth quarter. All of this is in line with historical production profile that has occurred here over the last decade. Accordingly, we would expect costs at San Jose to drop slightly in line with guidance on a per ounce basis as this production increases over the year. And finally, at Gold Bar. We are on schedule for commissioning of the mine in the fourth quarter of this year and it is our objective to declare commercial production in the first quarter of 2019. The project is currently on schedule and on budget with approximately 22% of activities completed and 27% of the costs incurred as of the end of April. In addition, we have locked in prices for approximately 45% of the overall costs on long-lead items such as construction materials, which are very price-sensitive materials. At this point, I would like to thank you again for taking the time to join us today. And I will now turn the presentation over to our COO, Xavier Ochoa.
Xavier Ochoa: Thank you, Andrew. Dear fellow shareholders. Last quarter was the first steady operating quarter following the acquisition of Black Fox and being problem free at El Gallo. In terms of our production results for the first quarter of the year, on a consolidated basis, we produced 44,344 gold equivalent ounces, as planned. We also had a very productive quarter in terms of construction advance of Gold Bar in accordance to plan. At El Gallo in Mexico, the operating team achieved a production of 12,217 gold equivalent ounces and having overcome prior quarter operating problems. Total cash cost for the year – for the quarter were $691 and all-in sustaining costs were $753 per gold equivalent ounce. During the quarter, planning for completion of mining of the current oxide pits was accomplished confirming that at the end of this month, that is May of this year, mining will cease at both pits, continuing to crush through the end of the second quarter the ore stockpiles and continuing to actively leach for the remainder of the year. That is a reason why Andrew referred to the costs dropping. Also, during the quarter, we had significant advances on the preliminary economic assessment that both Rob and Andrew alluded to for the El Gallo complex. This study is an exciting, innovative approach towards the future of the El Gallo complex, where we’ve abandoned the original standalone approach towards development of the El Gallo silver mine and advanced towards – sorry, and advanced towards development of an integrated complex. Where we plan to make things different is that, we will build a mill to process our heap. And once we have the mill running for a couple of years, we’ll be able to accommodate ore to be mined from the El Gallo silver mine. The plan entails using the minor pit at El Gallo Gold as a tailings storage facility. The use of mine pits for tailings storage is a proven practice in several countries, such as Australia, Mexico, Peru. And in a similar manner, it is the use of tailings stack fill in mining that everybody is doing. By doing this, in addition to cost advantages, we can also reduce our closure liabilities at El Gallo Gold. The result of this preliminary assessment will be available later this quarter. The Black Fox, we produced during the first quarter a total of 12,078 gold equivalent ounces, while still operating with slack capacity at the mill on a contained basis. Cash costs for the quarter were $934 and all-in sustaining costs were 1,148 per gold equivalent ounce. As a result of this, our efforts during the quarter were aimed at reducing our costs and evaluating the development of expanded ore zones, including the Froome deposit to increase our mine output and gold production. This work is continuing through the second quarter. At the San Jose mine in Argentina, our 49% interest in the mine amounted to 20,049 gold equivalent ounces, compared to 1.1 million ounces of silver and 10,822 ounces of gold, with a cash cost 934 per gold equivalent announced and an all-in sustaining cost of 1,148 per gold equivalent ounce. Operations there were steady in line with plan and the mine team continues to advance on several important sustaining projects. At Gold Bar, which will be our newest mine in addition to progressing with construction as planned, we have started evaluating additional mining opportunities through mine design and ore haul optimization. This work is being conducted now by our site operating crew, which is now in place with the addition of experienced talent, we’re starting to work on operational readiness for commissioning of the project at the end of this year. At Los Azule, work advanced to address technical issues and the environmental baseline, which will be required for advancing the project in the future permitting stage. As you can appreciate, we have been busy working on the future production and growth of our company. Now I’ll turn over to Sylvain Guerard, our Senior Vice President of Exploration, who will discuss the exciting exploration programs in place. Thanks.
Sylvain Guerard: Thank you, Xavier. We have the positive start to Black Fox exploration program with 31,000 meters drilled during the first quarter, representing approximately 30% spending of our $15 million exploration budget. Multiple exploration targets were tested over the Southeast Black Fox property area, where the Grey Fox deposit that holds a significant resources and the Gibson target are located. The drilling over this sector led to the identification of new, narrow, high grade structures and veins, including a very high-grade intersection of 639 gram per tonne gold over 0.7 meter, part of a 1.3 meter mineralized interval. The high-grade drill results represent a new target located 500 meters Southwest of the Gibson target. The recent drill results over the Grey Fox Gibson sectors suggest the potential for the presence of new mineral structure, and additional drilling would be conducted over this area in the next quarter. Our Q1 drilling at the stock property focused on the E zone located 700 meter from our mill and former Stock Mine. Historical results, combined with the Q1 grade intersection shows us the presence of a zone of mineralization that extends vertically from near surface to a depth of 350 meter and along a strike land of approximately 500 meter. The mineralized horizon stands along the Destor-Porcupine Fault prozimal to a Northeast, Southwest trending structure. Intense alteration, disseminated sulfides, quartz veining and [indiscernible]characterize the mineralization, Q1 drill highlights includes 5.24 gram per tonne gold over a 11.9 meter this is through it including a 26.5 grams per tonne over 1.6 meter. And also 4.49 grams per ton over a 9.4 meter intersection. The Stock property covers 6.5 kilometers of the Destor-Porcupine Fault and is located immediately to the west and adjacent to the Kirkland Gold Taylor property, where positive exploration results were recently announced. Additional, drilling is planned in Q2 at the Southeast and over other target on the Stock property. A significant part of the drilling in Q1 was focused on the Tamarack zone, where results from surface and underground drilling over the upper and lower lengths have confirmed and delineated significant zone of zinc, lead, silver and also gold mineralization, including a high-grade intersection in base metal and gold. The zone is located proximal to our Black Fox Corporation. An initial base metal and updated gold resources are planned in Q2, and we are going to evaluate the economic viability of this zone that could eventually contribute to the Black Fox production. During Q1, the underground drilling have been almost extensively focused on the Tamarack zone and extensions. However, results from a sector called the Far West extension at Black Fox have returned encouraging intersections of 4.5 grams over a 5.9 meter and drilling is in progress to better define the potential of this new encouraging target. The key drilling program from surface targeting extension of the mine at depth below 1,000 level has been unsuccessful due to the difficult ground conditions. We will consider an underground drill platform to allow the drilling of this target where three historical hole completed over the sector have returned encouraging results, including high-grade gold intersection. Looking forward, the exploration program is continuing at both Black Fox and Stock properties over the coming quarters. And recent new drilling information, new geophysical survey and machine learning have been integrated to our targeting and exploration program. Finally, in Nevada, resource expansion and delineation drilling continue around our Gold Bar deposit. Positive results have been obtained and a global resource update is planned for later this year.
Robert McEwen: Thank you, Sylvain.
Sylvain Guerard: Back to Rob.
Robert McEwen: Okay. So you’ve heard what we’ve been doing. I just like to talk about the Black Fox complex. When we bought it, it was a stressed asset. And as such, our purchase price was very low relative to the money, the previous investors had in it. We paid $0.06 on the dollar. We saw this asset as an underexplored property with terrific exploration potential in a world’s famous gold district. Our recent exploration results released earlier this week reinforce our belief in our large property package in the Timmons area. The recent exploration news of a new high-grade zone at the adjacent Taylor mine owned by Kirkland Lake Gold put a big smile on our face. Why? Because the Taylor mine is next door on the same geological structure and we have also encountered high grade in a new area close to our joint boundary. At the Black Fox mine, a lot of efforts been put into defining a very curious high-grade gold and base metals zone. That was ignored by the previous owner. We believe this zone could provide us with a meaningful source of profitable production. Elsewhere on the property, several very high-grade asset, as Sylvain commented, are providing us with excitements. I want to step away from the exploration and just talk briefly. As Xavier said. we’ve been working at the Black Fox mine. As I said right at the beginning, it was a distressed asset. It had some challenges. It’s providing us just under 50,000 ounces of gold this year. But it’s higher cost and we’re looking for ways to reduce that it has. It has a lot of long haulage ways from the deep areas. It’s a little inefficient in the way and it’s being done, it didn’t have enough areas developed to provide a constant and increasing flow of material, all of those areas we’re looking to address. And it’ll take awhile before we turn this around, but we believe there’s good room to expand that. Our Los Azules copper project, I have to say that, one of the things I really like is that, we now have – this is a remote site with one route into it. We have to cross the river six times in a pickup truck with water almost came in through the window, it was deep enough. We now have another route that looks like easy to develop into Chile. This property is right on the border with Chile. And there’s a third possible route. And if we’re – if that does work, it will change this property’s access dramatically. It would come in. We wouldn’t have to encounter any snow or very little snow, it’s a low route in. And the ideal for power and it would give us 24 – or, sorry, year round access. I’m still going to say 24/7 year round, but it’s – it would move from remote to very accessible and alter the value of the property. During the quarter, we were looking at pulling off and drilling for a location, confirming locations for tailing sites, for other infrastructure. The season is closing right now due to weather and we will be pursuing, permitting for an airstrip, we’re permitting looking to submit a permit by the end of the year to develop this site. So we’re quite excited by what’s going on there. At Gold Bar, as you’ve heard, the construction is moving along well. We’ve made large commitments to the purchases of essential equipment and there’s exploration going on at Gold Bar, as Sylvain said. And there’s some sulfide zones that really haven’t been followed up, because we’re concentrating on oxides. But just to give you a flavor of some of the historic holes, there were two that jump out. One was 23 feet at 8 grams and the other was 70 feet at 3.12 grams. And when you think of the deposit it’s running at just over a gram. These are areas that appear to have deeper roots and that’s what we’re going to test for as the year goes on. In Argentina, our partner, Hochschild, is continuing to explore the San Jose property. And it’s – we’ll hear more about that later in the year. They’re on a different reporting cycle than we are. And all of this, I said, it was an important year, because this year we expect to do about 170,000 ounces of gold equivalent, stepping up to 250,00 ounces in 2019, with Gold Bar coming on stream. And then slowing from it from there if we Xavier’s comments on the next-stage for El Gallo property in Mexico, if that moves on, well, it will just lift that production profile up. So we’re happy with the quarter. I would like to make money rather than report $0.02 loss, but that’s – we’re spending a lot of money on exploration and development.
.:
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jake Sekelsky of ROTH Capital. Your line is open.
Jake Sekelsky: Hey, guys, thanks for taking my questions.
Robert McEwen: It’s okay, Jake.
Jake Sekelsky: Starting with El Gallo. I mean, I know an economic assessment is due out this quarter. I’m just trying to get a handle on how we should be viewing the longer-term plan there? I mean, can you guys elaborate at all on the potential synergies between the sulfides and El Gallo silver?
Xavier Ochoa: Yes, this is Xavier. What we’ve found for all the metallurgical work that we’ve done is that, the sulfide content that we have actually makes it very little recovery on the conventional heap leach sort of passive leaching environment. But if you do a fine grind and you do agitate leach, you can actually extract the gold to silver present in it. So what the plan is to develop a mill that can treat the residuals on the heap leach. It can do contain a little bit of sulfide from places that that lock in the gold. And then using that grinding capacity that will be installed and augmenting the processing side of things with a more complex flow sheet than just agitate a leach that allows to treat ores coming from El Gallo Silver, which has got also some kind of a sulfides. Then we have a number of other assets that have been drilled over time in the property. They have variant degrees of sulfide content. And by having this flow sheet installed, we’ll have the flexibility to treat the sulfides. And it opens a different chapter in eventual exploration, because we will now have the ability to go after higher sulfide content of minerals that we have been putting aside, because we didn’t have the treatment facilities.
Jake Sekelsky: Got it. So it would kind of be a centralized mill in El Gallo hub and spoke kind of situation down?
Xavier Ochoa: Correct.
Jake Sekelsky: Perfect. Switching over to Black Fox, it looks like the drill results released earlier this week were positive, particularly at Tamarack. I’m just wondering what if any modification to the mill be required to bring that material into the mine plan?
Xavier Ochoa: What we’re seeing at Tamarack is still early stage. We may have portion of mineralization that can be treated in our existing mill. The high base metal contents will require a separate milling facility. But considering that general region in Ontario has a number of mills with available capacity, it really would be a question of looking at what’s best trade off for us whether it’s shipping out to somebody or augment our existing circuit. It looks at least at a first blush that going out to toll milling might make the most sense.
Jake Sekelsky: Perfect. And then just lastly at Gold Bar, can you just touch on the remaining capital budget that you spent there. I mean, is there a quarter where larger ticket equipment and materials are expected? And I’m just trying to get a handle on quarterly capital spend there?
Andrew Elinesky: Hi, Jake, it’s Andrew here. The second and third quarter are that the most intensive quarters. And we have approximately $28 million to $29 million per quarter going out in terms of cash.
Jake Sekelsky: Got it. So $28 million to $29 million during those two quarters?
Andrew Elinesky: No, per quarter. So in total…
Jake Sekelsky: Per quarter.
Andrew Elinesky: …$56 million to $58 million. It’s the brunt – it is the brunt of the capital going in those two quarters Q4 is relatively light so.
Jake Sekelsky: Perfect. That’s all for me. I’ll hop back in the queue. Thanks, guys.
Andrew Elinesky: Thank you, Jake.
Operator: Thank you. Our next question is from Heiko Ihle of H.C. Wainwright. Your line is open.
Heiko Ihle: Hey, guys, thanks for taking my question.
Xavier Ochoa: Hi, Heiko.
Heiko Ihle: Looking at San Jose, you produced 10,822 ounces with 48,000 ounce guidance for the year. You mentioned earlier on this call that you expect Q2 and Q3 to be better and then Q4 to be best. I know, you’re going to be careful commenting on 2019. But just conceptually, would it be okay to trends line Q4 production to 2019?
Andrew Elinesky: Hi, Heiko, it’s Andrew here. And the answer to that would be no. Q4 is, by default, a longer period of production heading into the end of the year. So Q4 to the last decade has always been the heaviest month of production year-after-year stoppages aside. And Q1 in the last five years has become the latest quarter production, as there is mandatory vacation and a maintenance – two-week maintenance period that the folks have put in place in those years. It’s during the summer months down in Argentina and it helps with maintaining a low absenteeism rate by having the fourth vacation and during the first quarter. So it’s by design and it’s by plan, so taking out the fourth quarter and extrapolating that would not be correct.
Heiko Ihle: Okay, fair enough. And then on Gold Bar, it said you – you’ve capitalized – it’s actually $50 million for construction in progress. Where should I expect to see that number by the end of Q2 and by the end of Q3 if you have that much visibility?
Andrew Elinesky: As mentioned to Jake, I’m expecting an additional $25 million-plus per quarter for Q2 and Q3.
Heiko Ihle: Okay. But that’s just the ultimate sum?
Andrew Elinesky: Sorry, I didn’t catch that.
Heiko Ihle: So, let’s say, if we model $25 million per quarter, that’s the final figure?
Andrew Elinesky: Yes. And then there’s a small component size. So we could be $25 million to $27 million per quarter and then the final balance being in the fourth quarter. But we’re still using the same budget of just under $81 million.
Heiko Ihle: Okay, fair enough. I’ll leave you with a remark, I find it quite impressive, so you’ve got $40 million in working capital at the end of the quarter. Given Black Fox and Gold Bar being ongoing, I find that very impressive.
Robert McEwen: Thank you.
Andrew Elinesky: Thank you.
Robert McEwen: We’ve been trying to…
Heiko Ihle: Thanks, guys.
Robert McEwen: …pull our money close to our chest.
Heiko Ihle: Very well. Well, you are a biggest shareholder.
Operator: Thank you. Our next question is from Mike Kozak of Cantor Fitzgerald. Your line is open.
Mike Kozak: Yes, good morning, guys. Thanks for listening the call. Just – first one for me just housekeeping accounting question. So of the 2018 exploration budget, how much of that is expense versus capitalized? Is any capitalized at all?
Andrew Elinesky: So we have a fairly conservative capitalization policy being a U.S. GAAP issuer, Mike – sorry, and thank you for calling and the question. So, yes, it’s fairly conservative and really the only portion that would get capitalized of our underground program or open-pit programs are – is just the infill drilling of reserves. And since we have minimal reserves right now at Black Fox, it’s a very small component that we’re actually putting on the balance sheet in mineral property interests. And with Gold Bar all the drilling that we’ve been focused on so far is the extension of resources on the edge of the pits. So none of that has been capitalized.
Mike Kozak: Got it. Okay and I figured as much. And then on Black Fox, you’re doing an updated gold resource and initial base metal resource, I think, you said this quarter. But the 110,000 newer drill program, I mean, you’re only going to be have done at the end of this quarter. So my question is like, how much of new drilling is going to be reflected in that new resource, or is that new resource only going to be at Tamarack?
Sylvain Guerard: Regarding – it’s Sylvain speaking. Regarding Tamarack, Mike, the drilling have been mostly completed on the zone itself. And most of the asset results are in as we speak. So we are proceeding with geological model and resources. And the information related to this resource and asset results are already in, as we speak. So the information regarding other exploration targets on the property and programs are ongoing, but Tamarack was one of the main focus in Q1 and the drilling is completed so far.
Mike Kozak: Got it. Thanks. And then my last one and maybe I’ll just have to wait until the news comes out. But, I mean, at El Gallo, what size of a mill are you kind of looking at to process that – the material on the heap leach pad? And, I mean, are we talking about something small, something that would then be scaled up to potentially do El Gallo Silver? I mean, just – but the initial kind of a flow sheet what scale are you looking at?
Robert McEwen: Well, we’re – we have to deal with different rock hardnesses, Xavier. And the softer materials, we’re looking at something in the 5,000 tonne per day class. But as we start putting some fresh rock from different deposits, it gets restricted down all the way to 3,300 tonnes.
Mike Kozak: Got it. Okay, that’s it for me. Thanks for hosting the call.
Robert McEwen: Thank you, Mike.
Operator: Thank you. Our next question is from Bhakti Pavani of Euro Pacific Capital. Your line is open.
Bhakti Pavani: Good morning, guys.
Robert McEwen: Good morning, Bhakti.
Bhakti Pavani: Just a quick question on Black Fox. I know – I see that you have increased your exploration budget from $11.5 million to $15 million. Just wanted to understand, given the initial results, how – bilateral development that you talked about in Q1 with regards to Black Fox, how’s that coming along? And with regards to production guidance, do you see production going up in 2019 at this point?
Robert McEwen: Xavier, do you want to talk about the development, and then…
Xavier Ochoa: Given what we know right now, 2019 should see a small improvement. It all depends on the speed at which we can move some of these projects. I think 2019 will be a small step-up, and if anything, we’re going to start seeing the big gains to be made into 2020 and onwards.
Robert McEwen: And the lateral development?
Xavier Ochoa: Oh, on the lateral development, 2019 should be a bit more heavy handed than this year, but it will go in hand with the production.
Bhakti Pavani: And at this point – sorry, go ahead.
Robert McEwen: Go ahead.
Bhakti Pavani: Yes, I was going to ask, at this point, are you only – it’s only Black Fox into the picture when it comes to mine plan, or do you anticipate Tamarack or Froome being considered in the mine plan in 2019?
Xavier Ochoa: At this point, we – we’re not yet considering seeing any significant production out of the two of them. It’s such matter of study for later this year to see if some acceleration could happen, but I couldn’t ascertain that.
Bhakti Pavani: Okay. Just last one, with regards to the exploration spending, 30% has been already spent in Q1, when it comes to Black Fox. How should we look about the remaining – the – of the spend throughout the quarters?
Sylvain Guerard: Sylvain speaking. We are going to spend probably most of exploration money by beginning of the quarter four. So it’s highly active in the first three quarters of the year and it will slowdown as we get into Q4 to digest all of this new information we are getting there. Back to your questions regarding our encouragement in results that we have received so far, I would say that, we are quite encouraged with the program. It’s a very positive start. Results are coming from multiple different zones. We have, as mentioned earlier, very high-grade mineralization in the southeast property area over the Grey Fox, but also over new targets in this sector there. Stock – then Stock properties, Stock East Zone is coming a bit as a positive surprise. Nothing much has been talked in the past regarding stock potential exploration upside, and what we see at Stock along the Destor-Porcupine Fault is highly positive and we have all the right ingredients there for a quality greenstone Archaean gold deposit. It’s still early stage. We are proceeding with resampling of this historical core. So that will provide us additional new drilling information, together with our Q1 drill results. And also, we are going to go back into the zone for additional drilling in Q2 and over the coming quarters. So Stock is coming as a positive addition to our Black Fox Complex program. And as also discussed, Tamarack. We have pushed Tamarack hard, had a significant infill and delineation program. And really, the objective of that is really to have a good understanding of what we have there at Tamarack. It’s – we see it as a late mineralized event hosting a massive sulfide, base metal and also gold. And for the first time, we’ll be producing a resource for the base metal in Tamarack, and we’ll update on existing resources for the gold. And Tamarack, as you know, is quite proximal to our Black Fox mine. So I would say overall, it’s a very good start. Results are coming from multiple different zones with high encouragement and we look forward for the rest of the program.
Bhakti Pavani: Perfect. Thank you for the color. Switching to Gold Bar at this point, are there any ticket items that you think might delay the expected production start date at the project?
Andrew Elinesky: Bhakti it’s – the key item for Gold Bar is equipment deliveries in the ADR plants. Right now things are all on schedule, but executing on those items are going to be the lynchpin to commissioning in the fourth quarter, and we’ll have a better idea on that during the third quarter.
Bhakti Pavani: Perfect. Thank you for taking my question. That’s it from my side.
Robert McEwen: Thanks, Bhakti.
Operator: Thank you. Our next question is from Bill Powers [ph], a private investor. Your line is open.
Unidentified Analyst: Yes, thank you for hosting this call this morning, gentlemen. A couple of things. I guess the first one is on the debt financing that you are going forward with as far as – there seems to be a lot of short interest in your shares right now, and I think that’s a little bit has to do with a potential – the belief that there may have been an equity financing. I guess, when is the timing on whether it’s debt or some sort of revolving line that we could expect to hear some news on as far as going forward on that?
Robert McEwen: Thank you, Bill. The debt financing, I agree with you, I think, once we get that the financing behind us, that expectation of an equity issue will disappear and we should see the stock lift and we’d like to see it done before the end of the quarter.
Unidentified Analyst: Okay, great to here. I guess, my second question has to do with – it sounds like you’re doing a new mine plan to incorporate into the El Gallo Silver. I guess – and you had – I guess, my understanding was to get the silver up and running. It was a pretty significant capital cost. I guess, what is the ballpark range that you would envision the combined, I guess, sulfide processing plant that would be able to accommodate El Gallo Silver? If you could just give us a ballpark that you might be looking at on that front?
Robert McEwen: We will have some numbers out at our annual meeting, which would be on the 24th of May. And…
Unidentified Analyst: Okay, great. Great, and finally, thank you for that. And finally, I thought that you guys purchased an adjacent property at Romios, I believe, the – it’s the name of the property in Ontario. And I guess, could you just give us a little color on that acquisition and what your plans are moving forward, given that it’s adjacent to very close to your existing mine?
Robert McEwen: It’s at the Southeast end of our property. Its on structure. It had a couple of historic drill holes, where they encountered gold. We thought it was complementary to and adjacent to the Grey Fox discovery and resource. But it came at an attractive price, and we’re just expanding our area.
Sylvain Guerard: That’s correct, Rob. This is adjacent to our property to the south. It has seen a bit of drilling. High-grade gold intersection had been intersected on the property, similar style to our Grey Fox project. So it’s something that makes sense as an addition or land expansion to Black Fox.
Unidentified Analyst: Okay. And – but there are no plans, I guess, this year for drilling on the recently acquired property, is that correct, fair to say?
Robert McEwen: It’s too early to say Bill, but –
Unidentified Analyst: Okay, great.
Robert McEwen: We’ve got a plan laid out for the year and we are following through with that then if in the future we see extensions we’ll consider going over there.
Unidentified Analyst: Well, thank you for your time this morning gentlemen.
Robert McEwen: Thank you for joining the call.
Operator: Thank you, our next question is from Terry DeRise, private investor. Your line is open.
Unidentified Analyst: Good morning Rob, Good morning gentlemen.
Robert McEwen: Good morning Terry.
Unidentified Analyst: A bit of a question for your, maybe it’s – I think we’re referring into a period of stagflation, whether it takes six months or a year, 1970s inflation I’m watching at few markets really closely. I think the Dow is in the bear market, we could confirm with other lower low in the transports, in the industrials any day now. So any rally that’s to the upside is the sell rally. The – they are saying with 2.3% GDP in Q1 the U.S. economy is rolling with the unprecedented monetary expansion of years and years, if that’s all they can get, I’d say they are wrong. The U.S. yields are pushing the upper barrier on the 10 year 3%. And I think the gold market is wrong in assuming it’s because of U.S. strength; I think what we’re seeing is inflation with rising commodity prices. So if my thesis is correct, I’m not the only one who probably holds it, but if we are entering into a period of stagflation, how can I expect gold-mining stocks to perform?
Robert McEwen: Goal is performing, it depends on the currency you are buying your gold in and right now if you bought it in Turkish lira from 1st of January of 2016 you’d be up over 70% in Turkish lira. In dollar terms you are up over 20%. I think the large debt loads that have continued to grow in size in the basement of the currency and it’s just adding fuel to the fire and you have people starting to look at goals as a contrary investor would that it’s been an underperforming asset in the minds of most people, but it’s been in a, I believe it’s been in a bull market since the beginning of 2016, but bull market starts slowly.
Unidentified Analyst: Well, excuse me, I agree with your there. But as we know the mining shares have really, really been in a bear market and cheap as they have been in years I would say.
Robert McEwen: Well, right now they are considerably higher than their lows of the summer of 2015.
Unidentified Analyst: Certainly [does this mean] [ph].
Robert McEwen: But I mean it’s corrected, we’ve – all the shares have given up quite a bit from the highs they achieved in the recent times. But I – you – gold performs well or has performed well in the past during stagflation periods, it’s about confidence in currency.
Unidentified Analyst: I guess we’ll just watch to see, we’re 13.07 right now, the bottom of the trade range, hopefully that holds and the, I guess, we are looking for 13.60 positive break and rosy skies ahead.
Robert McEwen: That’s right.
Unidentified Analyst: Have a great day gentlemen and thanks very much.
Robert McEwen: Thank you Terry, cheers.
Operator: Thank you. And I’m showing no further questions on the phone lines. I’d like to turn the call back over to Mr. McEwen.
Robert McEwen: Thank you, operator. We have several that came in by email, I’ll start with one on [Mr. Jeffrey Halt], he asked, the question was, you have repeatedly stated that the goal of McEwen Mining is to be included in the S&P 500 Index. It seems like a lofty goal at this point, what market cap is needed to obtain that goal and do you see the share price at least pertaining a $5 share price? So, yes, the 500 index, getting into it has been our goal, remains our goal. And the reason for it is because I believe it provides a competitive advantage being in the S&P 500. If you just take a look at the market capitalizations of all the public companies in America that values around $31 Trillion, and the S&P 500 it took the market cap of all the companies in it and it represents 80% of that value or about $24.8 Trillion. Now within the S&P 500, so it represent 80% of all the public money in America and there’s only one gold stock in it and that’s Newmont and its market cap is about $20 billion to $21 billion, expresses the percentage of the market cap of all of the S&P, it works out to 8/100s of 1%. So, what you have is a very, very under owned sector – industry in the S&P 500 and by investors in America. There will be a time and I think it’s soon that more and more people will be looking to buy gold and gold stocks and they will be turning to the stocks that are in the index in greater numbers. There are only three largest gold producers next to Newmont and these are the three that conceivably could get into the index if they do some M&A would be Coeur, Hecla and ourselves. Now 99% of all the precious metal producers in the world are ineligible getting into the S&P 500, it have to be an American company and America is the largest market for gold shares in the world. And Newmont by virtue of being in the index enjoys a very low cost of capital compared to the other companies in the industry and a more stable shareholder base and with the market going more and more towards passive investment, ETFs with more than 50% of the trade on the markets daily now, the shift will be quite profound in fact if you were just to know that waiting from 8/100s of 1% to 1% you would need another 11 Newmonts or another $220 billion moving into the gold space into stocks that are in the S&P. So what you need to obtain that? Well, it’s a little more than our market cap right now, you need to be $6.2 billion market cap and it’s about a 10th of where we – we are about a 10th of that right now. But ambitious goals are good, I think the – what you capture when you get there will be very important to our share price. We will have to do some M&A and we’ll have to rely on Sylvain to come along and find a lot more gold in Timmins, in Gold Bar and Mexico, but we know he can do that and Xavier is going to run the operations so that they’re flying. And since I own just under 80 million shares of McEwen Mining personally, my – and I take a dollar a year in salary, my goal is to see a much higher share price. Thank you very much Jeffrey. Andrew, you have a question?
Andrew Elinesky: I do Rob, thanks, it’s from a gentleman named Mr. Neil Davis, a fellow shareholder. His commenting question are, I like the tax-free benefit of the return of capital that McEwen distributes to its shareholders, I’m just curious as to why most companies don’t also use this tax-friendly method instead of the traditional dividend. Any thoughts? Thank you very much. And Neil, if I may call you that is, I’d like to thank you for the question, it’s a question right up my alley as an accountant and tax, because it’s a tax issue. Rob has mentioned before that he considers the dividend, it’s a small dividend, but it’s a dividend nonetheless that we pay out as basically a rent payment to our shareholders for the use of their capital. And we are taking advantage of two things; one, we have historical losses; and two, we have a lack of taxable profits. So that is why it is classified as return of capital, however, in 2017 there was a last-minute piece of U.S. tax legislation, which swung us from a taxable loss for the year to a taxable profit. The tax legislation was very favorable to us, particularly the toll charge reform which some people may be familiar with and that had a swing into the taxable gain for the year with the inclusion of foreign income that was forced to be repatriated. So that was 2017 and each year is looked at separately, so for 2018 the outlook is that we do think they will be returns of capital and not classified as dividends. However, the work that we are doing now is to an additional piece of tax reform. And sorry to bore you, but it’s called the global intangible low tax income calculation or the acronym they use is called guilty, which is one heck of an acronym. So we’re working on that and trying to come up with the calculations. And when they’re done later on in the third quarter of this year, we will know our – we’ll have the better estimate of our taxable income or loss position and we’ll be able to advise shareholders accordingly. But thank you for the opportunity to talk about this item once again.
Robert McEwen: Thank you, Andrew. There was one other question that came in from [Mr. Carl Barnhart] [ph] and it was two parts, two questions. The first one, the first stated goal is to extend mineralization, the Black Fox complex around known deposits. How will – what we have learned in Q1 exploration lead to an increase in annual production from existing operations, an increase in mine life or lower all-in sustaining costs on the same or higher production rates. Maybe some color on what type of exploration results would lead to actionable production in the timeline this could take would be helpful? So will the production lead to or will the exploration results lead to an increase in production, that’s our hope. I cannot see it happening this year. The mine we went into it knowing that it didn’t have a good mine plan. It didn’t have the good sense of what geology was like and we wanted to take time to get a better picture of the geology and put a, let’s say, improve the planning of the mining going underground, improve the mine plan. And yes, the hope is that will both extend the life and lower the cost. But that’s work in progress this year. And what would lead to actionable production change? Just being able to better define where we’re going to work in a more efficient manner. The second question to you is, the second stated goal is to test close to the mine in the mill, if actionable deposits are located in this process in the timeline from discovery to production, given its proximity to existing operations? Do you have any Q1 exploration results, which will appear actionable, or is it more – is more exploration necessary? More exploration is necessary. Thank you for your questions. Thank you for joining us on the call. And I hope all of your investments are golden. Thank you, operator.
Operator: You’re welcome. Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program, and you may all disconnect. Everyone, have a great day.